Natalia Valtasaari: Good afternoon and welcome to KONE’s Second Quarter Earnings Call. My name is Natalia Valtasaari and I am Head of Investor Relations here at KONE. I am joined today by our President and CEO, Henrik Ehrnrooth and our CFO, Ilkka Hara. Henrik will start by talking to you about the second quarter highlights, both financial and business. After which, Ilkka will go into a bit more detail on the financials. And then Henrik will end by going into the guidance and business outlook as usual before we take your questions. So with that, Henrik, please.
Henrik Ehrnrooth: Thank you, Natalia and a warm welcome also on my behalf. And I will say again a pleasure to present our results to you, because we have some very good news to share with you today. We had a very good second quarter at KONE. And we start with some highlights. Our financial performance was very strong and strong across the board. Ilkka will talk about that more, but was really both in orders and sales across businesses and regions, very good. You can also see that the market recovery solidified and really good recovery in many parts of the world. There is a small drawback though of this recovering economy overall in our recovering markets and that’s clearly what we can see the impact on input costs and on logistics and so forth, but we will deal with that later. The good news is that we have been able to start to improve our pricing to compensate for this. So, we are definitely going in the right direction here. Of the business highlights, we would like to always talk about our strategic targets and we have updates on two of them, related to our employee engagement and customer loyalty. We had results for both of annual surveys there in the quarter and the results were again very good for both. So I will talk more about those as well. So overall, I must say I am very pleased with our second quarter performance and overall how we operated throughout the period. But if you go into the numbers, I talked about growth and also, we had margin expansion. So, orders received grew 17.2% and reached €2.4 billion. Very strong orders received growth really as I said, across businesses, across regions, very happy about that. Very solid order book at €8.3 billion. Also, our sales grew by 12.7%, also here, very broad-based good growth, €2.8 billion. Perhaps to highlight in our sales growth was the very strong growth in our maintenance business. As you remember, it was very resilient throughout last year. Now, it grew well, because we grew both our maintenance base. We grew repairs very well. And also, our value-added services performed very well and how we were compared to 2019 here was also very strong. So, overall, very good there. Operating income, €367 million compared to €350 million, so good growth there. Our adjusted EBIT grew from €325 million to €374 million and adjusted EBIT improved by 0.5 percentage point to 13.3. And also cash flow, which last year was really exceptional, this €592 million. I would say the €513 million we had now was outstanding. €530 million of cash flow from operations compared to an EBIT of €374 million is just very, very good number. And of course, earnings per share as well, 17.6 point growth to €0.55. So overall, I would say, great numbers across the board on Q2. As we always say, one quarter is a very short period of time. Now, we have also half a year to look at and we look at the first half year as a totality, very robust. So, orders received, almost €4.5 billion, growth of 9.3%, also, sales growth at €5.1 billion, 11% growth, also here, very good. And operating income, from €530 million to €616 million, it’s a 20% improvement and adjusted EBIT from €530 million to €624 million and a 0.9% improvement in adjusted EBIT margin and cash flow at the extremely good level of last year of €939 million. So, very good and earnings per share, €0.92. I would say that the strong performance we have had in what I would say is a very changing and challenging environment has been good. The way KONE’s teams, all of our employees have dealt with a very changing situation, dealing with challenges as they come, has just been exemplary. I could not be more proud of the team. Everyone has done just a phenomenal job, but of course, a huge thanks to everyone for that. But that is the environment to live in today and – but I think we are dealing with the environment quite well or actually very well. In terms of business highlights, as I mentioned, our first strategic target is for KONE to be a great place to work. We did our annual employee engagement survey in the months of May and June this year. Results were very strong. Again, employee engagement, clearly above so-called high-performance benchmark norms. We came slightly down from last year, but last year, we had a real big jump and a slightly down, but engagement at a very good level. The commitment to stay at KONE and the commitment to go the extra mile, all of those numbers were very good. So, we have a good situation here. We also did our annual customer loyalty survey in the beginning of summer. Good improvement in all businesses, strongest improvement in our new equipment business. And we had broad-based improvement here as well. So, what is it that customers are saying? They very much appreciate our products, our product quality, KONE as a partner, our reliability. So, all of those were definitely strong points. Clearly, we have areas to improve and we look at this very much in detail in a very self-critical mode and it’s clear we can communicate better with our customers and improve our productivity that way. So, what – results again took us in the right direction. But that is KONE’s development. Next, I will go to overall market development, how the external markets developed. Let me start with the same chart we have had now for a number of quarters where we look at elevate the usage in a few markets. And as I mentioned before, we look at this because this is a good indicator of maintenance activity. Remember, we started to look at this data at the beginning of the pandemic and looked at it since. And we can see of course that activity has increased and usage increased a lot in most markets since the beginning of the year, except for some markets in Southeast Asia, like Singapore with new lockdown, slightly down after having recovered quite well, but in Europe, North America, strong recovery and we don’t have China here, but of course, that’s really at a very normalized level. What is also interesting when we look at this in more detail on a segmental basis is we know that residential has been strong throughout, but also what has been very strong recovery has been in hotel, leisure, in also shopping centers, so retail. So, we can see that people are traveling domestically, so more domestic tourism rather than maybe cross-border tourism and also back to shopping centers and so forth. Office is still lagging. But perhaps in North America, Europe, we expect that to start coming back, probably sometimes in September. So, this tells us a lot. And we can also see, as you saw from – and you will hear from Ilkka that our maintenance business very much at normalized level. So, this is something we do track and as we have roughly 100,000 connected units behind the estate, so I think it’s quite meaningful. So, then about new equipment markets. So as I mentioned, good recovery and actually better recovery than we would have expected at the beginning of the year. North America, clear growth, actually, North American market, about that same level as for the first half as the year before and strong recovery in Q2. And of course, United States came quite a lot down in Q2 last year, but now recovered nicely. Europe, Middle East and Africa, slight recovery, we have to remember that Central North Europe actually very small impact last year and strong growth in Asia-Pacific; China, from already good level last year when markets recovered strongly; and rest of Asia-Pacific, strong market recovery from of course a low level last year. What is interesting to follow is that, for example, India, where the COVID situation continues to be very challenging, markets are recovering strongly. So, my read of this is that most markets economies are learning how to live in with this pandemic and we can see the strong underlying demand being in the markets and therefore also recovering. Service markets, overall maintenance markets recovering. As I mentioned, they were really started to normalize, not all segments, but overall, the good level and modernization markets recovered strongly. So, strong growth in North America, clear growth also in Europe, Middle East and Africa and continued strong growth in Asia-Pacific. So overall, good markets there. But if we look a little bit more in detail at the important China market. Number of units order market continued to grow significantly year-over-year. And as you remember, the market already last year was good, recovered strongly and continue to grow from that. Competition in China is intense. There’s no question about that. However, given the cost pressures that we have seen throughout the year, we are starting to see that prices are starting to improve and the direction is clear and is the right one. They are improving. Overall, macro momentum in China is really solid, although perhaps moderating, but in the real estate business, investments and sales remained strong. Perhaps the biggest challenge for developers is the overall financing environment. But if you look at the KPIs we have shown here, real estate investment up well year-over-year and clearly up CAGR over 2019, same thing with sales volumes and price is also improving. So, overall, a good situation there. And that’s what we expect Chinese markets remain very solid also rest of the year. As I mentioned that this good recovery we have seen in the world economy, good recovery seen in our markets that the drawback it has had is that material prices, steel, copper and the like are at high levels, they have now stabilized, but at high level and then of course as everyone knows that every industrial company involved in global businesses and particularly deploying advanced electronic components have had challenges with component availability and component prices and also sea freight costs have increased, I would say, dramatically. Electronic component availability will continue to be an issue throughout this year, probably next year. For KONE, the situation is improving clearly towards the end of the year as a result of actions we are taking ourselves, so broadening our supply base there through design changes, so we are working on that, but that’s growing definitely in good direction. We also expect that so should start easing beginning of next year, sea freight probably some type next year should start easing. So they are probably more, more temporary. The good news as well is that the pricing environment has started to improve overall and of course that’s something that we are looking to capitalize on. Perhaps the most important factor though is that we have constantly been able to deliver and delivering on our customer promises. And that’s of course the focus we have, that costs have been higher, but for us, focus is to fulfill our promises, which we have been doing. But with that, I will hand over to Ilkka to dive little bit deeper into our financial performance.
Ilkka Hara: Thank you, Henrik and also, warm welcome on my behalf to this second quarter results webcast. And as you already saw, I have some good news to share when it comes to our performance in second quarter. And I will start with orders received. Our orders received for the quarter were €2.411 billion, which was a strong growth of 16.2% on a reported basis and on a comparable basis, 17.2%. So, very good performance there. Also, what I am pleased about is the fact that we saw strong performance in all businesses as well as in all geographies behind these numbers. If we look at particularly China, the large market there and our orders received development, we saw both in volume as well as in monetary value, our orders received growing significantly and pricing contributed slightly positively, while mix was slightly negative in our orders received in China, but overall significant growth continued there. Then Henrik talked about – already about pricing, which started to improve during the second quarter, but despite that, the margin for orders received declined slightly due to the increasing costs that we have seen especially driven by electronic components and raw materials here. Then to sales, our sales grew 11% reaching €3.8 billion and again in sales where I am pleased about this broad-based development in a positive direction. From a business line perspective, we saw the highest growth in the modernization business, growing 18.8%. Also, our new equipment grew 12%. But maybe one of the highlights for this quarter’s results is the modernization – sorry, maintenance growth at 11.7%. We saw higher than normal growth in the contract revenues, so the basic speed we get and also the discretionary part grew strongly. So, the recovery is happening, also visible in the data that Henrik shared earlier about the usage. But then on top of that, we continue to see an increasing impact from our value-added services, especially 24/7 that continues to gain momentum as we go forward. Geographically, we saw growth in Americas, 6.7%; EMEA grew 12.9%; and APAC grew 14.9%, driven by the very strong performance that we continued to see in China in our deliveries. Then moving to adjusted EBIT, which for the quarter, was €374 million growing 15.2%, but also, our profitability improved from 12.8% to 13.3%. We saw positive impact from the pricing – improved pricing that we have had in our orders received earlier, now being delivered and impacting our adjusted EBIT. Also, due to the strong performance on sales, fixed cost absorption was very good. And due to the environment, we also continue to see somewhat lower than normal discretionary spend at KONE. With those, we were then able to counter the impact of rising costs that we saw in Q2 as highlighted already earlier. Then to cash flow, which continued to be on a very strong level, reaching €530 million in the quarter. There, improved operating income contributed positively, but also, net working capital continued to be developing positively in the quarter, but overall, very good performance on cash flow for the whole business. With that, I will hand over back to Henrik to talk about market and business outlook for the remainder of the year.
Henrik Ehrnrooth: Thank you, Illka. Let me wrap up with our outlook. Starting with the market outlook and for new equipment, here we continue to see a good recovery. China new equipment market is expected to grow clearly compared to 2020. But remember that 2020 was already a good year given the very strong recovery we saw in Q2, Q3 and Q4 last year. Rest of the world markets are also expected to grow significantly outside China and Asia-Pacific; North America also good recovery and then some recovery also in Middle East – Europe, Middle East and Africa. And we have to remember, for example, Central North Europe was pretty good throughout last year. Maintenance activity is normalizing, as Illka was talking about that we have also – we can see it also in our business, but overall, the market. So they are expected to grow clearly in Asia-Pacific and continued slight growth in other regions. And a good recovery of modernization markets across all areas, of course, strongest growth in Asia-Pacific. So, overall, a good market outlook situation for the second half. And our outlook, we have now 6 months behind us. So, we specified our outlook a bit. We expect now sales to be in the range of 4% to 6%, was maybe 2% to 6% in comparable currencies. And our adjusted EBIT margin, we expect that now to be 12.4% to 13% compared to 12.4% to 13.2% previously, and of course, assumes that exchange rates stay at this level. But if exchange rates stay at this level, there will be minimal impact from currencies compared to previous year. And we have a number of good things that are driving our performance. As we could see in Q2, our competitiveness is in good shape. We have a solid order book and maintenance base as a result. And we have had a continuous good improvement in our quality and productivity. So with that, we have been able to already offset a bunch of the headwinds that we have seen. What is burdening our results? We can see that the global supply situation I was talking about is having an impact. We expect that the increased component logistics cost of various raw material and other component costs are going up. Full year impact about €175 million, as Illka mentioned, clearly higher than we had expected before. And as I mentioned, we expect that the electronic components given the actions we are taking should start easing towards the end of this year and logistics start easing next year. So, they are more perhaps temporary in nature. Despite this, we continue to invest strongly in our capability to sell and deliver digital services and solutions, because we see good growth here. I think we are really leading the market here and we want to continue to do that when we are bringing new services and solutions onto the market. And again, as Ilkka mentioned, the growth we had in the quarter and our 24/7 connected services was excellent. So, continue to build momentum there. So, in summary, very strong financial performance across the board and I would say that we are addressing the increasing costs from a position of strength. So, that is the environment, but we are dealing with it. And the momentum in our value-added services continues to improve and we had very good sales growth and very good performance there. So overall, I must say that I am very pleased with the performance of the second quarter and how our team overall have been dealing with the changing environment that we see in the market. And with that, we are ready to go over to questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Jeff Sprague of Vertical Research. Please go ahead.
Jeff Sprague: Yes, thank you. Good day, everyone. Jeff here. Two questions from me. First, just on China, you mentioned some of the developers, we are seeing a lot…
Henrik Ehrnrooth: Jeff, can I interrupt you? We have – sorry, Jeff can hear us? We can hear you very faintly. So, technicians here, we could hear the others also very faintly. Can we try to see if we can fix the line?
Jeff Sprague: Is that any better?
Henrik Ehrnrooth: This is perfect. Now it’s much better.
Jeff Sprague: That’s better. Okay, great. Yes, thank you for interrupting and two questions. First on China, right, we are seeing number of mixed signals. We saw developers are being required to disclose their commercial paper balance, which would suggest there is some restrictions. And then on the flipside, the reserve ratio requirements are going down, which suggests stimulus, right. So it seems like there is really a number of mixed signals from the government about what it wants to happen or what it sees happening economically. I just wonder if you could elaborate a little bit more on really the current state of affairs on the ground in China as a first question? And then the second question is just on modernization in general and perhaps some of the discretionary maintenance. I would imagine there is a fair amount of pent-up activity given what happened last year. Is there anyway you could size or put in perspective that pent-up activity? How long it might take to meet that demand and what your visibility is there? Thank you very much.
Henrik Ehrnrooth: Illka, why don’t you take the financing situation in China? I will take the more the maintenance part.
Ilkka Hara: Well, I guess if I look at the overall China market and look at the context where we are there, we have seen from overall perspective, the liquidity situation to be tightening towards the developer customers. Overall market then been a bit separate, but I think for these developers clearly. One of the targets for the government has been that they want to control the market and continue to see healthy development there. We have also seen regulation there, such as the pilot program with three redline policy aiming to improve the creditworthiness of the developer base. And then lately, also talked about how and what the disclosure on the balance sheet. But I think from our perspective that has not changed. It’s been tight for quite sometime. And naturally, we talk about pricing as a negotiation point, but also then also, the payment terms are a negotiation point always. But we have seen actually and so far been able to see quite a good development in our payment terms, and they remained roughly stable throughout the last quarter. So, I think that’s the situation from the overall market and our perspective.
Henrik Ehrnrooth: Then if I go to this modernization discretionary activity, so clearly, there is probably some pent-up demand in some markets that there were a lot of – for example, the residential side in Europe, lot of modernizations that didn’t happen as housing association didn’t have their meetings to approve the budget or people didn’t want jobs to be done in their houses while they were living there and working there as well. So, there is probably some pent-up demand. However, if we look at the fundamental demand in the market, it was growing well before the pandemic hit. Then it was muted. And now we are coming back. So probably, some pent-up demand, but also, fundamental growth is what we believe that there is. We believe that when companies start to bring people back to offices, the need for good offices is just very important. That’s how you attract people back. And at least, our surveys and studies indicate that that’s what companies want to do. So, we believe there will be good activity there to make sure the offices are attractive. And on residential side, usage has been high. So, all that maybe some pent-up demand, but I would say still good growth is expected going forward.
Jeff Sprague: Thank you very much.
Henrik Ehrnrooth: Thanks Jeff.
Operator: Our next question comes from Andre Kukhnin of Credit Suisse.
Andre Kukhnin: Good afternoon. Thank you very much for taking my questions. Henrik, can you hear me, okay.
Henrik Ehrnrooth: Yes.
Andre Kukhnin: Great. Can I start with, one, kind of going back to basics kind of question and then talk a bit about your relationship of the order backlog versus revenues? Because in the last couple of years, we have had this situation where we didn’t see receive much backlog growth, but it didn’t stop from your – didn’t stop your revenues from growing and the new equipment, specifically within that. And just wanted to get a sense on how you view the backlog rolling out and whether anything has changed in the last couple of years that maybe made conversion faster so there are more orders that are delivered as you go, so that they don’t make it into the backlog. Could we start with that, please?
Ilkka Hara: Well, maybe I will start there. So, we have seen somewhat increasing rotation in our order backlog due to China market being faster and faster in the last, I would say, few years. But then obviously, from last year’s perspective, also the market environment impacted the order book rotation somewhat. So, we saw book-to-bill being a little bit less than one during the second half of last year due to the strong deliveries. And now for the last couple of quarters, the order book actually quarter-on-quarter has been growing. So, I wouldn’t say that there has been a big change, but those other dynamics behind it.
Henrik Ehrnrooth: Yes. Perhaps I would – if you think about in China, one of the ways the developers are improving their financial situations, improving their lead times, how long they have things in work in progress. And that has played into our favor because we are very quick from order to delivery, and that’s an important competitive driver in China today. So, that has had maybe one of the drivers, but perhaps slightly faster, but no – yes, as Illka mentioned, that no dramatic changes.
Andre Kukhnin: Got it. Thank you. That’s helpful. And then could I ask a question on pricing? You mentioned it quite a few times on the call. It sounds like it’s new equipment oriented and quite China focused. But could you tell us whether that is the case or is it broader than that geographically or by product categories? And could you give us any idea on the size? I mean we have got a whole bunch of other kind of construction space companies talking about 2% to 3% price increases. Is that a reasonable ballpark?
Henrik Ehrnrooth: I think we mentioned that the pricing environment has improved, and we have slightly been able to improve our prices. We haven’t talked about any specific numbers on that. But that’s really it’s not only China, it’s also Europe and North America. And clearly, it’s impacting all businesses. So, of course, the objective is both for example, modernization, new equipment and spare parts and things like that. So of course, the objective is in all areas. Now the improvement is slight, but with – our message is clear, that we believe the direction is now clear here.
Andre Kukhnin: Got it. Thank you. And if I may, last one on raw materials. I know it’s early to think about 2022. But could you give any indication, assuming obviously no change in spots from here, on what that headwind would amount to from raw material perspective given that you have just moved the estimates for 2021?
Ilkka Hara: Well, first of all, raw materials and I would say raw materials been as we talked about the electronic components as well as the logistics. All of that is included in the updated €175 million headwind that we see for this year. And that’s clearly up from the – in conjunction of our Q1 results, we said €100 million. And most of that increase actually is coming from the electronic components and logistics. Those two components we expect, as Henrik talked about, to be more temporary in nature. But just looking at the raw material part of it, given how the comparison works, so we do expect to have a headwind to ‘22, especially in the beginning Q1, Q2, where we saw less of that impact.
Andre Kukhnin: Got it. Thank you very much for your time.
Henrik Ehrnrooth: Thank you.
Operator: Our next question comes from Guillermo Peigneux of UBS.
Guillermo Peigneux: Hi, good afternoon. It’s Guillermo Peigneux from UBS. One, labor actually on – a follow-up on the last two questions. First, I think on your outlook, you say China is significantly up during the first half and then clearly up for the second half, but that – could that mean that in the end, there is no growth in China for your second half or for the outlook of the year? I mean this is when you say clearly up. So, I just wonder about the second half growth outlook for the China market in your view. Then the second one is…
Henrik Ehrnrooth: Let me take that first and then we can go to the second question. You have to remember how the China market developed last year. First quarter was clearly impacted by pandemic. Second quarter started to recover, very strong recovery and actually strong growth year-over-year in Q3 and Q4. So, the comparison point second half is clearly different than it was for the first half in China. I think our message is that we expect markets to be really solid in China for the rest of this year.
Guillermo Peigneux: Thank you. But because it changes from significant to clearly for the final year, I was wondering whether that means that growth will be a lot more difficult in the second half. But you may be…
Henrik Ehrnrooth: Probably growth rate will be lower in the second half, but the comparison point is also much higher.
Guillermo Peigneux: Thank you. That was the clarification I was looking for. Then second is when it comes to your margin commentary about what’s coming into the backlog at the moment. I wonder, again, on the previous question, whether you could kind of pinpoint here, with the backlog in hand that you do have for delivery next year, whether we could see already that, that level is below current level?
Ilkka Hara: I will take it. So, as we see it – said already now in Q1 and Q2, it is slightly lower, the orders that we booked there. But then when you look at the total order book, mix plays an important role there. So, it’s not that good of a proxy to look at comparison point there. But clearly, now in Q2, we start to see prices improving, countering some of the increased headwinds from the cost. So, that’s clearly the right direction.
Guillermo Peigneux: Thank you.
Henrik Ehrnrooth: Thank you.
Operator: Our next question comes from Klas Bergelind of Citi.
Klas Bergelind: Yes. Hi, Henrik and Ilkka, Klas at Citi. So, I want to come back to cost again. And obviously, a material increase, but driven by temporary factors. But thinking about 2022, I think you, Ilkka, gave sort of an indication at the last conference call of what it could be for next year, some €30 million, €35 million for the first half. Now we have had steel costs going up sharply in the second quarter. Steel in Europe is continuing to trend higher. And given the hedging, will that be a big number for 2022? I will start here.
Ilkka Hara: I am not sure I gave an exact number on the last call for 2022. I said that there is a headwind there. And it is somewhat bigger now due to the development and mostly impacting then first half next year due to comparison.
Klas Bergelind: But if I ask it like this instead. The €175 million, it feels like raw materials for this year is a small part of that €25 million, €30 million, I heard when I spoke with Natalia before. How will that grow do you think? Is it €35 million, €50 million? Is there anything you can say at the current levels and given your hedges or are we just going to get it will be a bigger headwind? Yes. So, we have some sort of quantification.
Ilkka Hara: Yes. Well, naturally, I mean, it’s also – reality is that at this point of the year, there is still many moving parts before we get the ‘22 orders to come in and also then where and how we deliver those next year. But if I think about the €175 million now, the biggest change from €100 million to €175 million during the quarter was due to the electronic components as well as the logistics. And raw materials continued to be on a high level. And on the raw materials, then the impact is more towards the first half. But I wouldn’t go to too much detail yet. We will update as we get to closer to ‘22 on that one.
Klas Bergelind: Okay.
Henrik Ehrnrooth: I think it’s also important to think about the context that all of these that we are talking about, that if you look at all the costs, volatility has been very high. Situations have changed very rapidly. So I think now, of course, we have new contractual rates for sea freight and things like that for Q3 and partly Q4. But what it’s going to be next year, I think that’s still open and still raw materials. So, it’s just too early to say. And the only thing we know is that it all the situation have changed rapidly. And direction, of course, is something we don’t know and if it will continue doing that, but that is just the context of the environment. And the context of environment, we will have the living business. And as I said, I think we have done a really good job in dealing with those rapidly changing situations.
Klas Bergelind: Good. My final one is on services. Is there any way, Henrik, you can try and back out – I know this is difficult. But how much was pent-up demand as we open up versus more acceptance of the digital offering? Whether that offerings or even more acceptance this quarter, because the levels we see quarter-on-quarter, particularly on the maintenance side, it was quite a big surprise, I think, for everyone. It suggests definitely more than just pent up.
Henrik Ehrnrooth: I think Ilkka talked about it already, that it was actually a combination. If you look at discretionary activity, it was clearly above 2019 levels as well. So, maybe there was some pent-up, but the main thing is that we had a more normalized activity. Also, we had all of the parts in maintenance group. So, good growth in the maintenance base overall. Very good growth in our digital services, and pricing continued to be very good there as well, which is important. So, we continue to sell very well our digital services at good prices. And then also, good repair activity. And in repairs, maybe there was some pent-up demand, but it really shows that market is coming back here. And you have to remember that last year, I mean we still had – despite the environment, we had a couple of percent growth in our maintenance business. So, it wasn’t a slump. It was just a little bit lower, very resilient. And now we kind of clawed back much of that.
Klas Bergelind: Thank you.
Henrik Ehrnrooth: Thank you.
Operator: Our next question comes from Rizk Maidi of Jefferies.
Rizk Maidi: Yes. Hi. Thank you for taking my questions. I am going to go back to the cost again. Can you please just help us split out that €175 million between what is pure raw materials versus the other components, logistics, etcetera?
Ilkka Hara: Well, I would say most of the increase its from €100 million to €175 million is coming from logistics and electronic components, which is roughly – I would split that maybe to half. And then most of the €100 million – a little bit more than €100 million is then the raw material impact out of that. So, that’s roughly the split. And as I always say that we don’t really buy raw materials. What we purchase is components for our equipment, but those components naturally have a tight connection to raw materials. So, we try to give you a picture of the impact of those changes. So, it’s also a bit of an estimate just to provide transparency.
Rizk Maidi: Okay. Thanks. And just the number seems to be way higher than what we have had there in the last inflationary environment of 2017, ‘18. Is there anything that has changed in your relationship with your component suppliers? I understand that most of the direct material cost is through components or is it essentially those logistics, electronics, etcetera, that is driving the bill higher this time around?
Henrik Ehrnrooth: I think the difference is – our supply chain is fundamentally similar to what is back then. The difference is that – I don’t think we have seen for decades a situation where all costs in a synchronized way would go up so much. But then it was more certain materials that were going up. And now we are seeing it across the board. That’s perhaps the difference between now and going back a few years.
Rizk Maidi: Okay. Thank you. Then just the second one is just a clarification really on – so what we are hearing from some of your competitors is three red lines policy has so far not had any big impacts on the market demand at least. But some of your competitors are seeing tougher pricing, but also different payment trends. I think Illka touched on this a bit earlier. Can you just elaborate on whether you have seen something similar at all?
Ilkka Hara: Well, I always say that when we talk about negotiations with customers, so pricing is one component. And you have the commercial terms, including payment terms there as well. And we have seen that our developer customers have faced liquidity challenges for a number of quarters. So obviously, it’s even tighter negotiation on the payment terms. But as I said, so far, we have been able to maintain good payment terms, and they haven’t changed overall. So, I think that’s a positive development from our perspective. But the pressure continues to be tightening there.
Rizk Maidi: Thank you.
Operator: Our next question comes from Lucie Carrier of Morgan Stanley.
Lucie Carrier: Good afternoon everyone and thanks for taking my question. Apologies, maybe to come back on the guidance for 2021, I know it’s a bit more short-term focused. But I wanted to understand a little bit more your assumption around the second half of the year. Because you are at 11% organic growth in the first half, so virtually, you are kind of guiding for about zero in the second half. Appreciate maybe the second half comp base in China is a bit more demanding. But it’s not that easy – it’s not that difficult necessarily in the other regions. So, I was just wondering if the orders you have taken over the last 9 months to 12 months or maybe longer dated or why you are kind of assuming so little growth in the second half?
Ilkka Hara: Well, if I start the guidance for second half. Naturally, as we said, that the comparison point is tougher when it comes to the second half, and especially in China where we saw very good recovery throughout last year since second quarter. And you have to also remember that even though we did have increasing impact of pandemic in a number of markets, in the second half actually, our performance was better. As we said then, we have learned to live with the pandemic more and more there. So, that’s the background for the guidance. So, we continue to see that the business developed positively, but the growth is less than we saw in the first half.
Lucie Carrier: Okay. And then secondly, around the guidance for the margin on that front, you have an incremental cost of about €75 million from the headwind from components and logistic. I was just curious to understand whether you are seeing a higher potential in terms of your savings benefit, because I think you had initially guided for a relatively modest amount of savings for 2021 because – or if you were expecting quite a lot of benefit on the mix, may be more Q2 modernization and maintenance in the second half. Because if I look at the leverage you have had so far this year and kind of extrapolate, that it looks like the high end of the margin targets, let’s read this way, is quite challenging.
Ilkka Hara: Well, I think, overall, given the increase in costs, we have been able to counter that with good productivity, quality improvements, as Henrik already highlighted. And that’s been helping us to be able to perform quite well. And the guidance has been less impacted than the headwinds we have seen. So, I think it’s just a mix. And then if you look at it from a first half perspective versus second half, so we are expecting more of that impact from the €175 million to be impacting Q3 and Q4 than we saw in the first half.
Lucie Carrier: Okay. Thank you very much.
Henrik Ehrnrooth: Thank you.
Operator: Our next question comes from Andrew Wilson of JPMorgan.
Andrew Wilson: Hi, good afternoon. Thanks for taking my questions. I just have two. On the modernization side, I am interested in a couple of comments you made, I think, to the very first question. Just are you seeing a change in terms of the types of inquiries that you are having on the modernization side, with it being that customers obviously thinking about repurchasing buildings or potentially seeing an acceleration in some of these areas which we kind of expected to maybe be modernized a bit more quickly than they ultimately have been? Just interested to see if you are seeing a sort of a change in some of the incoming, I guess, requesting inquiries from customers there.
Henrik Ehrnrooth: I think it depends a little bit on market. But what is interesting to see is that I think in North America, we are experiencing what we saw also after the financial crisis that actually modernization came up first because if you had an old building that didn’t have tenants to make that competitive, you had to modernize it. Of course, it’s not only about elevators, it’s general modernization, to make sure that you have something that can attract employees because I still believe that, that is going to be for offices. Really critical to bring people back is to make sure that you have offices that are fit for purpose, that are attractive and are good places to work. So, people can really feel the benefit of coming there. And that’s a lot of discussion that we can hear. But also, in peoples’ homes, as – probably going to be much more mix but work could be more home and expect more out of them. So, and then on top of that you have the EU requirements which you can see the recovery on resilience fund much of that money is going to modernizing, upgrading building to make them more energy efficient and smarter. So, we think all of these things will drive and create a good growth environment for modernization of the coming years. We could see that already before the pandemic, but perhaps slightly different drivers, but that’s why we are positive about the longer-term outlook for that business. Maybe in the short-term, there was some pent-up demand, but we still expect to see good growth going forward.
Andrew Wilson: And maybe just a quick one, it’s probably for Illka, and apologies if I missed this. But have you – or can you provide us with a split of the €175 million cost headwind between the first half and the second half? I am just interested in terms of how that sales is through the year, obviously, to help us a little bit with our models for the second half.
Ilkka Hara: Well, I would say that on a rough terms, maybe first half, one-third of that impact in first half and then the rest more towards Q3 and Q4, quite equally impacting there – impacted there.
Andrew Wilson: That’s very helpful. Thanks for the time.
Operator: Our next question comes from Martin Flueckiger of Kepler Cheuvreux.
Martin Flueckiger: Yes. Thanks for taking my question. Good afternoon gentlemen. Just on your efficiency gains and productivity improvements that you have mentioned. I appreciate you talking about your headwind from higher input costs in quantitative terms. But could you possibly also elaborate a little bit in terms of numbers what you are expecting for cost improvements from these efficiency and productivity gains that you are targeting? That would be my first question.
Henrik Ehrnrooth: I don’t think we have a specific number, because this is really across the board. Of course, we have targets for many different lines, because remember, this comes in so many different forms. It comes through maintenance productivity. It comes through installation productivity. It comes to general quality. It comes from supply chain. And it comes from also our product cost competitiveness. And actually, we’ve seen good improvement in each of these to offset some of the costs. But each of them, it’s a few percentage points. But if you normally do two or three and then you can do instead of three or four or something like that, it still starts to have an impact, but that’s kind of the magnitudes we’re talking about.
Martin Flueckiger: Okay, thanks. And then the second one, I seem to remember that you’ve been doing quite a number of smaller acquisitions, particularly on the services side in the past. I was just wondering whether you could talk about whether there’ve been, again, numerous acquisitions in Q2. And what regions you made those? And what the actual impact was on your sales growth at comparable exchange rates?
Ilkka Hara: Maybe I’ll start. As said, so our strategy there, looking for nice smaller maintenance companies that we can acquire and add to our maintenance base hasn’t really changed. It continues to be the same. We’re very interested to look for those. At the same time, if you look at over time, the challenge is more finding willing sellers than our appetite there. And now I don’t think there is been a big change, but there are a few that we’ve been able to now close lately that are positively impacting. But as said, focus is more Europe, and especially South Europe. And I guess now North America is also one where time to time, we find opportunities there. And it brings some growth, but obviously, it varies a lot then between quarters. But it’s not a big number. As said, the driver for the maintenance growth clearly was other things than acquisitions.
Martin Flueckiger: Okay. So it’s fair to say that the impact at the group level is less than 0.5 percentage point.
Henrik Ehrnrooth: Yes.
Ilkka Hara: Yes.
Martin Flueckiger: Thanks.
Henrik Ehrnrooth: Okay, thank you.
Operator: Our next question comes from Joel Spungin of Berenberg.
Joel Spungin: Yes. Hi, good afternoon. I’ve got a couple. Maybe just to start, could you maybe talk a little bit about your sort of thinking around the long-term potential for the market in China, particularly as we look into ‘22? Obviously, we’ve come off the back of a couple of good years. This year has probably been better than expected. Do you think that momentum can continue much longer? Or are we inevitably going to see some sort of normalization in market growth rates?
Henrik Ehrnrooth: Yes. I think we haven’t given estimates yet for China into 2022. We expect the markets to finish in a good note this year. Probably then I would expect them to start on a good note next year, probably not growth rates that we see now, but solid market is where we expect. Growth rates, we have to see what those are. It’s too early to say now. I think fundamentally, when we look longer term, we expect new equipment markets to be solid. Perhaps then more of the growth going forward is going to come from services while we’re putting so much effort into that now. And that’s where we see a lot of opportunities. So overall, we continue to see that there are good growth opportunities in the China market overall.
Joel Spungin: Okay, thanks. That’s helpful. And then just maybe, just some clarification, just in terms of the order intake number at the 17% Europe, looking to the second quarter. I mean obviously you said within that obviously China grew significantly, but EMEA was up slightly. What I’m curious about is Americas, which is obviously the sort of smallest proper contributor of the three regions. But it must have grown an extremely fast rate to sort of reconcile to the 70% order intake growth overall. Can you maybe just give more clarification on what happened there?
Ilkka Hara: Yes. You have to remember that the comparison point for Americas last year Q2 clearly was impacted strongly by the COVID in Americas, and we did see significant growth in Americas orders in the quarter.
Henrik Ehrnrooth: Let me be a little bit more bullish. We had actually extremely strong growth in orders received in North America in Q2, so…
Ilkka Hara: That’s right. That’s right.
Joel Spungin: Okay. Okay.
Henrik Ehrnrooth: Particularly United States, we had a phenomenal performance there.
Joel Spungin: Right. Okay. Okay. Thank you. And then maybe just a very quick one, just in terms of your comments on pricing, and you obviously mentioned that the pricing environment improved in the quarter. I’m just curious to understand maybe a little bit more about what maybe lies behind that. What explains the improvement in the pricing environment in the recent months?
Henrik Ehrnrooth: I think everyone in the market is seeing the same pressure. Of course, our customers are seeing the pressure from many different perspective. Of course, therefore, the clearly, they are – they want to push back. But I think there is a recognition that costs have gone up significantly. We have compensated much of that. Not everything has been put through directly to customers. But we can see there is a better – start to be a better acceptance. And more companies, not everyone, but more companies have started to look at price increases. And we have been very focused on that, and we’re starting to see some of that coming through. And of course, it has to do with your competitiveness as well, that if you are competitive, I think you can do it. And I think it’s the right thing to do in a high cost increase environment that we are in now. It doesn’t happen overnight. It’s hard work behind it and consistent work. And I think our message very clearly that, yes, it’s slightly improvement now, but we can. When we look at our data, the direction is clear.
Joel Spungin: Okay, thank you very much. That’s all for me.
Henrik Ehrnrooth: Thank you.
Operator: Our next question comes from Nick Housden of RBC Capital Markets.
Nick Housden: Yes. Hi, everyone. Thank you for taking my questions. My first one, it’s a bit of a broader question about the Chinese market again. In the past, you’ve spoken about consolidation among Chinese property developers being a catalyst for carriers, indeed rather established OEMs to gain market share. Can you just give us an update on how this process is moving, and whether it’s accelerated or stalled in the past 18 months or so and just what the situation is there? Thanks.
Henrik Ehrnrooth: We have seen a continued consolidation. If you look at the top 50 or top 100 developers in China, so we’ve seen a continuous consolidation, perhaps not as fast as it was before. As we talked before, there is a strong focus to improve the balance sheets of many of the big developers. But still, many of the big developers have stronger balance sheet. So they have been able to then participate in land purchases and that way grow. So they have been growing. And that consolidation has continued, perhaps as said, not as fast as before, likely to continue the same trend as we’ve seen so far.
Nick Housden: Thanks. It’s helpful. Just one more quick one. I mean you can share all about having a very quick order to delivery time again in China. I’m just wondering how that compares with other OEMs. Is it a big differentiator between KONE and other major OEMs or is it more an advantage that all of the major companies have versus some of the smaller, more local players?
Henrik Ehrnrooth: So I can’t talk about all of our big competitors. But my understanding is that we have the shortest order to delivery turnaround times in China for the big customers. But clearly, everyone is working on that, so – but that’s been a source of competitive advantage and doing that consistently in a good way.
Nick Housden: It’s very helpful. Thank you.
Henrik Ehrnrooth: Thank you.
Operator: Our next question comes from Tomi Railo of DNB.
Tomi Railo: Hello. This is Tomi from DNB. Can you perhaps comment the growth rates in terms of Chinese maintenance and modernization in the second quarter for you?
Ilkka Hara: We continue to see similar good growth in maintenance in China that we’ve seen before. So, maintenance revenue growing double-digit and also our maintenance base growing slightly higher than the revenue there. And on the modernization, we’ve continued to see good growth there, if you remember that the base steel continues to be small, but over the last years, 30% plus growth has been the pace there, no change there.
Tomi Railo: Okay, thank you.
Operator: Our next question comes from Maddy Singh of Bank of America.
Maddy Singh: Yes. Hi, thank for taking my question. Just a couple of them. First is a quick follow-up on the pricing comment. When you talk about price increases, are you talking about year-on-year increase or a sequential increase in prices? And also just on that, it’s my understanding that so far, price increases have not been enough to offset the cost increases until now. And obviously, you hope that it does that in the future. And the second question is on your order backlog as it stands now. Can you confirm whether the margins of the overall order backlog is lower than current reported margin levels of – during the quarter, so around – below 13% level, basically? Yes.
Ilkka Hara: Well, I’ll start with the pricing question. And on the pricing, so normally, when we comment, comparison period is year-on-year. And there is a slight seasonality impact in that commentary. But as we now talk about improvement in overall pricing environment, I think it’s true, both year-on-year and quarter-on-quarter, on a high level. Then on the order book margin, so what we book to order book. So as I said already earlier, so it is not a very easy comparison point to give or not a very good one as you have in the order book a higher number of major projects, for example. And also, the rotation in the order book is different between the regions. So we haven’t commented that much on order book margins versus what we book.
Maddy Singh: But can you also confirm whether the price increases so far have been enough to offset the underlying cost increases? So it would need a lot more price increase?
Ilkka Hara: No. I actually already commented that we start to see prices going up, but not enough to counter the cost increases.
Maddy Singh: Okay, great. Thank you.
Operator: Our next question comes from Lars Brorson of Barclays.
Lars Brorson: Hi, Henrik, Illka and Natalia. Thanks. Maybe I can follow-up on that pricing question, Illka. And maybe just start by saying you give by far the best commentary visibility on pricing and the industry thank you for that. But let me just press you maybe a bit on new equipment pricing in China, in particular. I think what I picked up from your competitors is that price increases have been far easy in Western market than have been in China, at least recently. I wonder whether you can give a bit of color around the new equipment pricing trend in China. So like-for-like price is slightly higher. We’re talking 100 basis points? And can you give some color around market pricing? And can you also give, perhaps Henrik or Illka, a little bit of color around what you see in your base business versus larger project business? I’m still assuming that the latter is far more price competitive. I’ll start there. Thank you.
Ilkka Hara: Many questions. I’ll try to take all of them. Your question on where do we see pricing developing between areas, I think – well, first, I comment particularly China, due to a size of that. And also, it’s easier to take the mix out there. We’ve seen now prices improving in China slightly in Q2. They were flat or more stable in Q1. So that’s one thing. And there, clearly, overall market, despite being competitive, there is a strong growth there. So that’s an environment where you normally also see better pricing environment. But now we’ve also seen during the second quarter that we start to see signs of improving prices in Europe and in North America as well. I don’t know, Henrik, if you have more to add.
Henrik Ehrnrooth: I think that, clearly, market is not very competitive. There is no question about that. At the same time, everyone is facing the same environment in the market. So, that’s also important to remember.
Lars Brorson: Can I just ask specifically is it not easier to put through price increase in your base business than in your large project business that’s historically been the case at least?
Henrik Ehrnrooth: That’s a little bit garbled, but I think it was kind of volume business versus a major project business as the line was a little bit disturbed there. But clearly, the bigger impact is always the volume business. But major projects, also there, we’ve seen a good development, both are extremely competitive, no question. But I think with similar trends, I would say.
Lars Brorson: Thank you, Henrik. It sounds like you can’t hear me particularly well, but maybe I can ask if you can hear me. Little bit your risk…
Henrik Ehrnrooth: Now we can hear you again.
Lars Brorson: Okay, thank you. Around key customers in China, not sure whether you can give us a percentage of group sales from forever grand or China sales. But maybe more broadly, have you quantified sort of the customer group that may be at risk? And if so, can you give us a little bit of color around that risk assessment?
Ilkka Hara: Well, I don’t think we’ve commented individual customers as such. But obviously, China now has bigger customers than in other markets. But it’s also good to remember that still compared to a group total, we’re talking about maybe a percentage point or 2 on the big customers. So it’s not that the business is very concentrate they are such.
Henrik Ehrnrooth: Clearly, we are managing risks all the time and so far fared quite well.
Lars Brorson: Finally, if I can – understood. On your repairs business, the last three quarters, you had a handy little heat map chart for your order trends by region and segment, which you’ve taken out. I just wondered – I mean I was late on the call, so apologies if you’ve already covered it. But your repair business is that tracking your elevated usage? Are we back in growth year-over-year? Are you able to give a bit of color on that, please?
Ilkka Hara: Well, glad to get the feedback. That was useful and sorry for dropping it for this quarter as we saw more green everywhere there. So I think that’s the answer. I didn’t give much of a difference between the different areas anymore. And maybe I missed it during the presentation, so we went through the maintenance business, which grew very nicely. And we saw across the board very nice growth. The basic maintenance business with the contractual revenue grew more than normally. Also, the value-added services contribute to the growth. So we continue to see good momentum for services like 24/7 connected service. But then the highlight was the discretionary part. So that grew much faster than the maintenance business in general. And that’s, I think, a comment across the globe.
Lars Brorson: Thank you both.
Henrik Ehrnrooth: Thank you.
Operator: Our next question comes from Debashis Chand of Societe Generale.
Debashis Chand: Thanks for taking my questions. My first question was on like one of your key competitors investing on ramping up connectivity in its installed base. So do you see that could potentially change the competitive environment for the digital services? To put it other way, do you see it could push KONE to adopt a kind of similar strategy in the future?
Henrik Ehrnrooth: I would say that I think everyone is investing in various different digital services. We feel good about the competitiveness of ours. I think the fact that we’re able to achieve a premium pricing for them talks a lot about the value of these services and the value we can deliver to our customers for them. Clearly, we are coming out with different types of service all the time. Some perhaps more basic, some more advanced. So I think this market will continue to develop, but we see that our approach is working. We are selling these as commercial services because they really add good value to our customers. And we put in a lot of money into the development of them. So that seems to work. But clearly, there is a – competition is going to do different things, and that’s what the competitive market is all about. I think it just verifies that there is a need for such services, and I’m very pleased with the value we can provide.
Ilkka Hara: And maybe to add to that, so it’s not that we only invest to the development part, we continuously invest also to the go-to-market and effort. That’s been something that we’ve continued to do for quite some time. So I think in that sense, we are in a – from our perspective, in a good position.
Henrik Ehrnrooth: I think what Illka mentioned is just worth highlighting that going to selling different types of service customers always take different commercial skills that we have really built up over the past years. And I think that this is really an important competitive advantage. And if you don’t do that, then I think you’re going to be behind in the future. So that’s a choice we – conscious choice we’ve made. That’s what we believe in.
Debashis Chand: Thank you. Secondly, one clarification on the growth guidance and I was looking at flattish growth outlook for the second half. Are you looking for low growth in China in second half? Or now you see China declining in the second half?
Henrik Ehrnrooth: We don’t guide specific markets. I think we – so we have a solid order book, and the orders have come in at different times and this is what we expect now from second half overall.
Debashis Chand: Thank you.
Henrik Ehrnrooth: Thank you.
Operator: And we can go to Andre Kukhnin of Credit Suisse.
Andre Kukhnin: Thanks very much for taking the follow-ups. I wondered if you could tell us your maintenance base growth in H1 so far in units.
Henrik Ehrnrooth: A little bit over 5.
Ilkka Hara: Probably something in around that.
Henrik Ehrnrooth: Okay, normal good growth.
Andre Kukhnin: Great. Thank you. Just to help calibrating against all the catch up was to come back to trend, etcetera. And on China…
Henrik Ehrnrooth: You have to remember, Andre, that the – sorry to interrupt, but maintenance base last year was, of course, very little impacted by pandemic. There were some, but very little, so it was really a discretionary activity that was impacted more last year.
Andre Kukhnin: Exactly. Yes. That’s what I was thinking, is that you were, I think, 4% something and the growth should have been a couple of points higher given price, given digital, etcetera. So I think – I guess we’re catching up a bit now to the trend. And on China business mix, is service – is maintenance and modernization still kind of circa 15%? Or have we moved past that point towards 20%? And modernization, you said it’s a very small base, but is it kind of nearing the 5% of your China business or still far off it?
Ilkka Hara: It’s a bit more than 15%, but not quite 20% in total right now. And the modernization business, it’s closer to 5%.
Henrik Ehrnrooth: Which is probably slightly below.
Ilkka Hara: Yes.
Henrik Ehrnrooth: Yes. Good.
Andre Kukhnin: Perfect. Thank you. And is there an update on China regulation change? We know they keep piloting and trialing the kind of replacement of mandatory visits to on-demand visits plus 24/7 monitoring. Has there been any movement on that front?
Henrik Ehrnrooth: Those pilots have continued. My understanding is that the results are good for them, but no real update on that regulatory front yet.
Andre Kukhnin: Very clear. Thank you very much for you time.
Henrik Ehrnrooth: Thank you.
Ilkka Hara: Thank you.
Operator: Ladies and gentlemen, that concludes all the time we have for questions today. I’d like to hand the call back to speakers for any additional or closing remarks.
Natalia Valtasaari: Yes. Well, thank you, Henrik, thank you, Ilkka, for the presentation. Thank you to everyone who’s participated, everyone who’s asked questions. It’s been a very lively discussion this time around, which is great. If you do have any follow-up, please do feel free to reach out to either me or the rest of the IR team. And yes, with that, I’m wishing you a great rest of the summer.
Henrik Ehrnrooth: Thank you, everyone.
Ilkka Hara: Thank you.